Operator: Ladies and gentlemen, thank you for standing by, and welcome to the World Fuel Services Second Quarter 2021 Earnings Conference Call. My name is May, and I will be coordinating the call this evening.  As a reminder, this conference is being recorded.  I would now like to turn the conference over to Mr. Glenn Klevitz, World Fuel's Vice President, Treasurer and Investor Relations.  Mr. Klevitz, you may begin your conference.
Glenn Klevitz : Thank you, May. Good evening, everyone, and welcome to the World Fuel Services Second Quarter 2021 Earnings Conference Call. I'm Glenn Klevitz, and I'll be doing the introductions on this evening's call alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit the World Fuel Services website and click on the webcast icon.
Michael Kasbar: Thank you, Glenn, and thank you to everyone joining us today. As I mentioned last quarter, our organization continues to evolve within a fundamentally changed marketplace. We've made progress within the digital and energy transition and performed well within a constrained supply chain. The choppy start-stop reopening of markets and borders has added challenges. There is no historical analog for the dynamics we are experiencing. Despite this, we have done an extraordinarily good job of managing risk and supporting our customers, suppliers and partners from cyber to driver shortage to credit risk and lockdowns, our team has done an exceptionally good job of supporting a very different market. And while conditions in many parts of the world remain fragile, our team again performed with both commercial and operational excellence in the second quarter, delivering solid results. I can't possibly thank our global team enough for their spectacular efforts over the past 1.5 years and look forward to finally reconnecting in person when we reopen our offices this fall. 
Ira Birns: Thank you, Michael. And good evening to everyone listening on the phone and on the webcast. Hoping you're all enjoying the summer, while continuing to stay safe and healthy. Our business continues to perform well in what remains a challenging operating environment, and I am proud of our people and all the great work we have done supporting our customers and managing our business through this extraordinary period in our lives. We remain extremely engaged with our customers and suppliers and are proactively opting in support. And we are pleased to see that many of the markets we serve are showing increasing signs of improvement, others, including our aviation business in parts of Europe and Asia have been slower to recover. Meanwhile, we remain focused on enhancing our value proposition in all the markets we serve, and we're excited about the long-term prospects and opportunities that exist across our business. Before I walk through our second quarter results, please note that the following figures exclude the impact of nonoperational items, as highlighted in our earnings release and the comparison periods exclude the operating results from the multi-service business that was sold at the end of the third quarter of last year. The nonoperational items principally relate to acquisition and divestiture, asset impairment and restructuring-related adjustments and expenses. To assist you in reconciling results published in our earnings release, the breakdown of the nonoperational items can be found on our website and on the last slide of today's webcast presentation.  Now let's begin with some of the second quarter highlights. Adjusted second quarter net income and earnings per share were 25 and $0.39 per share, respectively. Adjusted EBITDA for the second quarter was $60 million. Volume improved significantly as markets continue to recover with second quarter consolidated volume up 9% sequentially and 33% year-over-year. And lastly, generating $37 million of cash flow from operations during the second quarter and $500 million over the past 12 months, increasing our net cash position to more than $200 million, further strengthening our balance sheet.  And now I'll review our financial results in greater detail. Consolidated revenue for the second quarter was $7.1 billion, an increase of $1.1 billion or 19% sequentially and an increase of $3.9 billion or 126% compared to the second quarter of last year. The year-over-year increase is driven by the significant increase in volume across all of our operating segments as well as our 130% increase in average fuel prices compared to the second quarter of 2020.Our aviation segment volume was 1.4 billion gallons in the second quarter, an increase of 230 million gallons or 20% sequentially and double the volume generated in the second quarter of last year. The volume increases both sequentially and year-over-year spanned our commercial passenger and business in general aviation businesses.
Operator:  We have our first question from the line of Ben Nolan with Stifel.
Ben Nolan: So I guess I will start with my first question. You'd mentioned specific to aviation and the land side that there was a little bit of a negative impact from the wind down of operations in Afghanistan, and that will be concluded here in a month or so. Relative to, let's say, 2Q or maybe the proportion of, I don't know, let's call it, EBITDA or income from operations in the third quarter, how much how much of that is left to go away, would you say?
Ira Birns: The best way -- Ben, it's Ira. Best we describe it to be consistent with the past. In the second quarter, it still represented 7% to 8% of our consolidated gross profit. Obviously, larger piece of aviation. But on a consolidated gross profit, it was about 7% to 8% it will probably remain in that ballpark, give or take, maybe 1% or 2% in the third quarter. And then after that, it's possible that a little bit will remain, but it will be an extremely small number as one location apparently will continue to operate indefinitely. So 7%, 8% in Q2, likely a similar number in Q3 there's been a lot of activity around the final exits. And then once we get to Q4, you're talking maybe a couple of million dollars a quarter, that would continue from a gross profit standpoint.
Ben Nolan: Perfect. That's great detail. I appreciate that, Ira. And then as my second question, Mike, you had mentioned at the end of your remarks there that you guys were sort of at the final stages of some land integration and that it's finally getting to the place where you want it to be. I was hoping -- and I guess there's a little bit more to do on that. I was hoping, what all does that integration entail? I mean, what all are we actually talking about here? And then on a go-forward basis, is it possible to quantify what that might do financially for the company?
Michael Kasbar: Ben, it's -- we've taken a aggressive and I think forward approach to technology and a digital approach to our land business, really all of our businesses, somewhere between Q2 and Q3 will be 100% cloud base where we would have shut down in all of our data centers. So we've taken an aggressive approach to technology. And the U.S. businesses, we had 3 regions or East West and Central. And we will be consolidating those on a singular platform or series of platforms that we'll be able to interoperate. So the ability to now handle national accounts and be able to get the cost reduction as well as the ability for all of those localized businesses because they're our local and regional businesses. So the vision was really to cover the 48 states. And to do that with our own logistics and inventory as well as third-party logistics and inventory, we believe that, that's going to give us a significant advantage in the marketplace and allow us to give a seamless service level. And we've got national accounts, getting a lot of consolidation. They want to have a single counterparty that's going to deliver them a level of service, be able to leverage their volume. We're integrating operationally with these clients through very advanced digital portals. So it goes on and on. The economic side of it, we're expecting to get some amount of efficiencies and cost efficiencies. Some of those, obviously, we'll share with our clientele, and some of those we'll keep. It will give us scalability. And certainly, as it relates to future acquisitions will be able to, hopefully, take EBITDA and have that drop to the bottom line. So that was the reason of it, fairly ambitious. And so hopefully, that gives you enough color on that.
Ben Nolan: Yes. I appreciate it. And then let's call this the follow-up question, although it's admittedly unrelated. I think, Ira, you mentioned that the net cash position was $200 million. Shares have kind of been hanging out in the range here in the low-ish 30s. At what point do you flip to solution decide to activate a buyback program here?
Ira Birns: As we've -- I'm smiling you say that because as we've addressed this question many times, I think we've definitely become more buyback friendly over time. We'll probably never going to buyback enough shares to make most of you guys as happy as you possibly could be. But that's something that's always top of mind for us each and every quarter. And we're not necessarily getting up in the market every day. But I think we've demonstrated over the past several years that we've been fairly actively repurchasing our shares to at a minimum cover our -- the dilutive impact of employee equity-related awards and more, we did a good bit more than that last year. We'll almost certainly have some activity in 2021. But we also want to preserve as much capital as we can for growth, right, and growth in business activity as opposed to growth in buyback programs. So that's always an option for us. And certainly, something we're strongly considering for the balance of the year. And -- but again, it's one of many areas of focus for us in terms of where that $200 million of net cash gets invested.
Operator: Your next question is from the line of Sanjay Ramaswamy with Bank of America.
Sanjay Ramaswamy: Just a question maybe following on from Ben there. Just -- I appreciate the thoughts on the buyback, but just -- maybe just expand a little bit on your thoughts on where you think this business can strategically grow maybe by segment? I know you've obviously talked about inorganic growth before. And obviously, the desire to do a potentially larger acquisition, but where do you look to grow that business? I mean is it in another vertical? Would it be if either land business and obviously expanding into maybe potentially green energy. Maybe just your thoughts on maybe the industry vertical and where you think that best fits within the business?
Ira Birns: Sanjay. Great question. It's Ira. I think Michael will have some comments here as well. But I think we've been pretty clear over the past couple of years on this one, although could partially believe around COVID the fact that there haven't been many successes to report as of yet. Our most significant areas of focus are on our land business. Arguably, it's the largest market that we participate in globally and the pipeline of opportunities in that business are greatest. Specifically within that area, we're focused on our commercial and industrial activities. We did a couple of acquisitions, now exactly 5 years ago, that are both performing very well. We've grown organically around those acquisitions, and those have been added to our legacy business that existed previously, but we haven't done a whole lot since. So we're much more active today in terms of looking at ways to continue to build out that platform, which is a real solid ratable, strong return type business. So that's one area. We continually talk more and more about our Connect business, which I believe maybe our fault, but not everyone externally fully understands how that business is advanced. I mentioned earlier in my prepared remarks, that Connect now represents almost 1/3 of net revenue in our land business. That's an area where we're doing energy management consulting in nat gas and power areas, where we've got a brokerage business. We're trading in those commodities, and we have a growing suite of services on the sustainability side. There's obviously a lot of excitement in that arena worldwide. There are a lot of folks that have been performing activities in that regard for long time and we found companies that are growing very rapidly. So there's a lot of avenues that we can take to build out that Connect business, which has tremendous amount of growth potential consumer in the world is focus on ESG sustainability in particular. So that's another area where we're investing a lot of time and energy looking for opportunities to continue to grow organically, but to built on some investments to accelerate the growth in that part of our land business as we refer to it today. Mike, you have anything to add?
Michael Kasbar: I think you did a great job there, Ira. So it is going to be that land business, certainly accentuating the U.S. as a reason why we've spent so much time with the land platform, still very sizable market. But we're also supplying diesel globally off of the back of our global aviation footprint. We're going to be burning diesel for decades. While we're helping the carbon story with the sustainability and making that a bundled offering. So we're able to help drive that energy transition. Our marine business is a cyclical business. It's following on the footsteps of aviation. I mean, aviation is a great story where we have got a global offering. We've got a lot of nonfuel offerings. So we've expanded that. Of course, the physical logistics footprint is impressive. We continue to grow that and go from strength to strength there. And marine will follow those footsteps, it has different dynamics to it. And then our defense business, I've said this many, many times, we've got tremendous capability in terms of providing a level of service to a very particular client, and we've developed that. That started in the '80s when we acquired NCS in 2010, we thought it was a sunset business, lasted for over 10 years, I guess. So that exceeded all of our expectations and the rationale for acquiring that was to use the capability to broaden the base. We got, in terms of our engagement with defense, we got very cut up within or particular Afghanistan project, but we developed those capabilities. That's another area that we'll continue to investment. We will grow organically. There's no better growth than organic growth and we're being selective. We promised not to do anything stupid. There's a lot of ways you can spending money, and we're being careful and judicious about it. And particularly in times like this, you've got a marketplace that's somewhat hyperbolic. It's quite extraordinary to see what's going on in the marketplace. So we're being careful playing the long game, but those are the areas, there are synergies that cut across all of those. You've got to ship a plane, a truck, an airport, a seaport, a truck stop. So you've got moving targets and stationary targets they are getting fueled on ground, regardless of whether they go sea or they're flying around. So all of that creates really this global capability to be able to provide liquid gas and power and sustainability solutions. So I don't know. So I think it's great story, we're providing power agreements. We're sourcing, renewable 190 renewable peel plants that we're providing, energy advisory services in 55 countries. It keeps growing. So we've got, I think, a good future in front of us. And we feel like we're getting stronger every day.
Sanjay Ramaswamy: Very thorough. That was great. And I appreciate all that, especially in terms of the marketplace and the valuations are. Maybe just on aviation, if we can hit on some things there. Just in terms of some color on the geographical mix of your commercial aviation business there. And obviously, the exposure and volumes out of Asia is going to be closely watched over the next couple of quarters just given COVID. But maybe if you could just walk through where you see the biggest weakness ex-Asia and even in Asia and how you kind of see the sequential trends through the second half from a volume perspective?
Ira Birns: I would say that we talked on the call about the fact that North America is ahead, right, it's been coming back pretty rapidly. That's the largest piece of our pie, followed by Europe and then Asia. Europe is interesting because that's where we made the investment a few years back and became more physically present. As I think Mike mentioned in his prepared remarks, 70 or 80 on our 4 locations, where we're either exclusive or one of 2 or 3 field providers. Those are airports that really got stowing pretty badly by COVID, most of the -- many of them being in Europe. So that's -- in terms of where we're behind in recovery, that's where the greatest opportunity is. It's not massive volume, but because of the physical nature of that activity, it's higher-margin activity. So as that comes back, it will pretty rapidly contribute to gross profit. And then there's still more volume and gross profit to be achieved as North America continues to rebound as well. So we haven't historically given a specific forecast for where volume is, but we definitely expect relatively significant increases in volume over the balance of the year, not back to where we were pre-pandemic, but the number will continue to grow from where it is today to higher levels, probably 20% up easily next quarter. And fourth quarter is too far out to forecast considering all the uncertainties out there. So there's a lot of runway for aviation to rebound. The Asian piece is relatively small in the overall scheme of things, but there's some opportunity there as well. So it's an improving story, but there's still reasonable amount of uncertainty as to how quickly the international markets rebound in Europe and Asia, considering the latest unfortunate news about the variant, and we're all waiting to see what that may translate to going forward in terms of additional lockdowns or hopefully, the opposite and things settle down and more and more markets open up. Australia is still locked down. So we're watching that activity every day, and we remain optimistic that we're going to see growth, but how much growth and value we see is really dependent upon a lot of the things that I just described in terms of government decisions and people movement around the world.
Sanjay Ramaswamy: Makes sense. Yes, that's great color. And just as my final follow-up. Just in marine, obviously, we've seen the dynamics there shift quite significantly over the last year, obviously, with the pickup in IMO helping 2Q '20. But maybe if you could just give some color on that gross profit per metric tonne kind of dynamic. I mean, obviously, we're seeing some strength in containers, as you mentioned, some outside strength there. But can you just maybe talk through how that -- I mean, how that business mix is changing and how that gross profit per metric ton can potentially improve sequentially from here?
Ira Birns: Yes. We've historically traded in a fairly wide range in terms of gross profit per ton. This quarter, I would say we come in closer to the historical low end of the range. Of course, the early part of last year, we were way beyond the high end of the range because of the volatility caused by the IMO shift last January. One of the reasons why we're in that low under range is certain activities that still haven't come back such as cruise and also this will flow with extremely limited volatility, and we often make incremental margin on the risk management side, where customers are locking in on a forward basis. So you're not seeing a lot of that activity in this environment. So as you look to the future, the opportunities would come from heightened volatility, which would improve that piece of the business, a rebound in a market like cruise and hopefully, again, if everything in the world starts to improve, we've got our friends in the cruise business are all headquartered within about a 5-minute walk from our office. So we know them very well. And hopefully, they're going to start seeing more activity as we head towards the holidays and into next year. And what's also cool is when we talk about Connect and sustainability, a lot of the marine customers are focused on being more carbon friendly and often look to us for solutions in addition to buying bunker fuel from us to operate their ships around the world. So that type of activity is picking up as well and could contribute to marine profitability going forward. So marine is a tough one. It's a competitive marketplace and marine is cheap as well people going after the same customers, but we still have a leadership position around the world. We've had relationships that date back decades, and we'll continue to look to capitalize on those relationships and increase profitability. But the margin per ton metric is dependent upon a lot of the factors that I described below. So that will -- that has tended to bounce around over the years. Price is a factor as well. So for the foreseeable future, we think second quarter profit per ton is probably a reasonable metric to assume for maybe balance of this year, but that could change based on a lot of different factors. And of course, we're trying to achieve the highest possible returns for that business.
Operator: Mr. Kasbar, there are no further questions at this time. I will now turn the call back to you for closing remarks.
Michael Kasbar: Well, thanks to everyone who is listening to our update. We feel we're well positioned to engage the continuing opening of the markets and the transition that we would miss set. So we look forward to updating you on the next quarter and stay safe and let's hope that more people get vaccinated, so that we can continue to get back to a normal way of life. So take care, stay safe, and we look forward to updating you next quarter.
Operator: Ladies and gentlemen, that does conclude the conference call for today. We thank you for your participation and ask that you please disconnect your lines.